Operator: Good day and welcome to the Q4 2016 Nordic American Tankers Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Hansson, Chairman and CEO. Please go ahead, sir.
Herbjørn Hansson: Thank you very much, ma’am, and to all of you thank you very much. I would just would like to state that today’s presentation and discussion may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and I just would like to have that as a starting comment. Let me then at the beginning start out by giving you a little overview of Nordic American Tankers Limited. For us, it is important that we have a sustainable business strategy in both strong and weak markets. And that strategy is based on simplicity, transparency, and product ability. That strategy has been the same essentially since we started out in 1995. And I would spend few seconds on explaining the strategy of the main element, expansion of our homogenous fleet, cash flow essentially distributed to shareholders, a strong balance sheet, close customer relationships, maintain a top-quality fleet, interests aligned shareholders management, low cash break-even including low G&A costs, exposure to the time charter market and to some extent the spot market with a focus on the customers, and we leverage our industry network. I’m sitting here in Norway together with a few friends, my number two person to read, who was living in America in Houston, Texas for seven years, eight years. I’m also together with a girl [indiscernible] who was living in New York for about seven years. And myself according to my passport, I have been in America between 150 and 200 times. I have studied in America and I have also a business degree from Norway. I’m very, very pleased with what is going on in Nordic American Tankers. I’m prepared to respond to any questions you may have. Please be critical and please be aggressive and please ask us about anything associated with this company. That I was very pleased to see yesterday, although, I don’t go into market and assess the market day-by-day. But our investors, the investors and our customers, they are the two most important constituencies. And our investors were very pleased yesterday with what I saw. We had an increase of the stock price of about 4%, and all the other major tanker companies were down by a percentage or two, or even more. What I would like to stress is that, there is no other company out there like Nordic American Tankers. I did review the nine, as I said, dimensions of the company for you, and you should not compare us with anybody else, because there’s simply nobody that has the approach and the strategy that we have. 2016 was a very good year for NAT. The results for the fourth quarter was 21.600 – $21,600 on a time charter basis, which was solidly higher than the third quarter, which was $16,700. And 2017 has started out very nicely, where we have a time charter equivalent of $25,000 and slightly above that. What we do see at this time is the benefits of an increasing fleet. You may have noticed that during the last year, only during December, we added five ships from our – to our fleet. We bought four ships from [indiscernible], the prominent Greek shipowner and we had a new building being delivered in early September last year, a new building from Shandong, and now we are reaping the benefits of having a large fleet. We have the best total return, which is the same as profitability since 1977 – 1997 compared with all other companies – shipping companies. But again, I remind you that this company is very different from all the others. And risk management, I would say, it’s very important for a company in order to be successful in both a strong and a weak market. Let me tell you that that homogeneous fleet we have Suezmax matches only, and the growth of the homogeneous fleet is one of the key success factors of NAT. We have now, at the end of this month, we will have 30 ships trading, and they have a huge potential – income potential. And we have a very, very close relationship with our customers. I mentioned the two main constituencies that’s customers and shareholders. And I’m not listening a lot to what the other companies are doing or saying. But it is quite noteworthy that there’s almost no mention of the customers that was mentioned, but the market may go up, the market may go down, or the market may stay where it is. But the most important constituency is our customers. We should have no name dropping here. But ExxonMobil, one of the biggest companies in the world and one of the best companies in the world is an important customer of us. I had personally met. I don’t know him, but I met Rex Tillerson who is now the Minister of Foreign Affairs in America. And we have a close relationships with Shell. We have a close relationships with the British Petroleum. And also in particular, we have a close relationship with Chinese interests, the biggest oil companies in the world. Last year I was personally in China together with two of my colleagues; one of them is here, [Mr. Tomsta] [ph]. We were in China talking to Unipec, which is one of the largest oil companies in the world, and talking to the Chinese oil company and also the new Teapot Refineries. It’s very stimulating to be in China and in the Far East and that’s really where the action is. We have about 20 ships in the Far East and about 10 in the – on the Western side. China is very important for us and also along with India. We do a lot of business in India and that has turned out very successfully. Our next trip to China will be in April. And I will go there together with two of my colleagues and visiting our Chinese friends and strengthen the relationship with them. And the market has been very nice to us and we enjoy a very good relationship with Big Oil. Big Oil is our friends and we prioritize them to the maximum extent. We are also dealing with other companies, including Lencor, and Shell, and BP, and Mercuria, and Chevron. And we also quite open go to Houston, Texas, where Exxon have their new shipping center. I can tell you something that you may not know and that is we were and I was personally involved in lightering, which is transfer of oil from the – a big ship coming from the Middle East to a smaller ship. And we started out in 1981 with that when I was a Senior Executive in another company. And if somebody should be called the professional of lightering, it should be my colleague Mr. Sissener and myself, I was the Chairman and he was the CEO. And we started the lightering business on a big commercial scale. Don’t get me wrong here. I’m not bragging, I’m just tell you truth. If I can mention another thing for you, we have an average fleet age of about 12 or 13 years or so. And I would note that shipping technology for crude tankers has not changed very much over the last 20 years. There’s only one difference 20 years ago and now that is the consumption, speed consumption methods, they are slightly different now. When you go past, you consume more oil with a 15, 17 or 20 years ship than a younger ship. But except for that, the technology is very much stable. With me today here is also one of my good friends and technical director who has been living in Japan for a few years, and we started out in the early 1980s ordering ships in Japan. Liquidity of the stock is essential for us in order for shareholders to buy and sell stock whenever they wish. And to make a long story short, I’m very, very pleased with what we are seeing. I’m very, very pleased with having the – all my colleagues here. And I’m very, very pleased that so many people are joining this conference. Again, I summarize where I started. Nobody has the same strategy and us – as us. We are a very special company with a clear cut strategy that we have been following all the time. We had the highest total return and that is profitability. And I’m not ashamed to tell you that I like better $100 than $50. And the point we are at now, I’m very, very optimistic about the future based upon the – our relationship with Big Oil. They like us, because we have 30 and now coming to 33 ships, and that is why they would like to do business with us. Let me also say that next year, we will have three more ships coming and that will necessitate an outlay of about $116 million. We have paid about $55 million already for these three ships. So I’m very proud and I would say modest and humble to be able to be Chairman of this company, which has served shareholders and which has served customers so well. And we are going to continue on that path, and I’m very pleased that so many of you have joined us. And please ask any questions – any questions you have about everything associated with this company. Thank you, madam, who is chairing this session or who is managing this, and I give the word back to you.
Operator: Thank you. [Operator Instructions] And we will take our first question from Fotis Giannakoulis from Morgan Stanley. Please go ahead.
Fotis Giannakoulis: Yes. Hello and thank you for this opportunity. Herbjørn, this is the first call after a very long time that you gave after earnings. And I’m wondering if this constitute change in strategy or a more aggressive expansion strategy, I want to focus a little bit more on your expansion plan. Last year, you acquired the number of vessels, if I’m not mistaken, several new vessels, what are the plans of the company in terms of expansion for this year? And when – how are you planning to finance this expansion?
Herbjørn Hansson: Thank you Fotis, for your question. When it comes to the conference call, last time, I believe we had it in 2012, according to trade venues, which is a very reliable magazine, I must say. We have all this at communication challenge. We are trying to explain as when as we can with – in our written reports. But unfortunately, many people don’t read the reports, not even the first 10 lines. And secondly, some of them don’t understand what’s going on. And it’s difficult to have a written dialogue with somebody who doesn’t understand what’s going on. And that’s why we wish now this time to have this conference again to urge you to ask a lot of critical questions, or any questions, if we can help you understand what we’re doing, that would be great. Coming back to your second question, Fotis, about expansion. I’m hopeful that we shall be able to expand significantly. I cannot promise and say, we’ll expand by so many ships by that date, or by that date, but now we are at 33 ships. And I would say that our objective in the first phase, not this year, but maybe this year and next year, maybe we should be at 40, maybe we should be at 40 ships. I’m not promise anybody 40 ships. But as long as we don’t have expansion – as long as we don’t have ambitions, we are dead. And I can tell you that my colleagues and myself, we are indeed ambitious on behalf of our customers and on behalf of our shareholders. So if 40 okay for you, Fotis?
Fotis Giannakoulis: Yes, that’s very helpful, Herbjørn. Just if you allow me to follow-up on the expansion plans, I was wondering if this expansion would be potentially new building vessels, secondhand vessels, or even if you see opportunities for expansions through consolidation, combination with another entity. And if you can comment the opportunities for expansion through consolidation we saw the offer of our frontline to DHT that was rejected earlier this week. If you think that there’s room in the industry to consolidate through mergers, and if your company can be one of this consolidators?
Herbjørn Hansson: Let me talk about consolidation that is a popular word out there. Preferably, you should consolidate with somebody who is like yourself. And there’s nobody like ourselves. I know the DHT people, they are first-class people. I know very well Mr. Munthe, who is heading up the thing. I did know his father who was the most impressive academics in Norway during the 1980s professional Munthe. And DHT is an excellent company. It’s an excellent company with a good fleet and with good people. I would like to say when it comes to consolidation, we have been thinking, I can tell you my friends about expanding into the VLCC business. We have been thinking about expanding into the Aframax business. But we have so far always come to the same collusion stay where you are, do what you know best, and do what you can best. We have a saying here in this part of the world that the holy shoemaker. Shoemaker stay where you are and deal with shoes, because that is what you think about, that is what your expertise is about. When it’s – where we would like to go, whether we would like to go for secondhand ships, or new buildings? It’s a difficult question. It makes you to respond very, very bluntly. I would say, I don’t know, that would be my first question, and I don’t know anybody who knows. But I believe, we would have an inclination about going for possibly secondhand vessels, but I’m not promising anything on that score. But we – there was one thing which is absolutely essential they must be good quality vessels. They must be good quality vessels. We’re not – and that is perhaps one of our main strengths that we have high-quality vessels, a low-cost vessels, one type of vessels. I’m referring again to the reaction of the market yesterday. I would tend to indicate secondhand investment who did, but it could be both. It could also be new buildings, people are chasing us every day. I can tell you everyday, even today, I’ve got a message from a broker who is coming resting afterwards. The good thing about, we’re okay that one-and-a-half-hour from Oslo here in this office, we have several offices. And the best thing is our confidentiality. Nobody knows what we are doing. And also you who are brokers normally you get very frustrated when you don’t know what is happening. And our confidentiality is a very good strength of this company, and we are very pragmatic, if I should respond very precisely. Again is that, we like to make money, I say it as simple as that. And it is always, we have a saying also that you must be able to have more than one thought in your head at the same time that is a saying here in this part of the world. And I would say here, we must have many, many, many thoughts in the head at one time. It’s a question of the markets. It’s a question of the shipbuilding sector. It is a question of your customers. It is a question of your competitors, are they bankrupt in Chapter 11 and a number of them have been in the areas. And there are many, many dimensions associated with that. And I certainly don’t know what will happen. But I’m not – I’m focused on two things. Firstly, I’m focusing on expansion of the Suezmax fleet, because it’s a huge advantage to have ships of the same size that keep costs down. And it is a huge advantage to have a high-quality fleet that we have, as reflected by Vettings. Vetting is the inspection of the ships by the oil companies. They’re very, very impressed and we have the best Vetting story in the business. Sorry for talking too much Fotis. Any other questions?
Fotis Giannakoulis: That’s very helpful. Herbjørn, one last question, you mentioned that you like to make money, but you also like to distribute dividends and your investors like it even more. Your dividend is right now the north of 9% yield. Can you give us your outlook for the market going forward. There are lot of people, they’re concerned about the OPEC cut. There are a lot of people, they are very confused about the potential changes in the regulatory regime and the implications of the new administration. Given your – how close you are to your customers and to the different policy makers? Can you give us your outlook over the next 6 to 18 months for the Suezmax market and their potential development of your dividends?
Herbjørn Hansson: I asked a friend of mine, what you think about the market and the friend of mine, a very informed guy, he said I don’t have a clue and if I did know something, I wouldn’t tell you. I cannot say that, but we are not in the guessing business. The market can go three ways, it can go up, it can go down, it can go sideways. And if you are a nervous person, you should not be in the tanker business, then you should look for something else to do in my view. But to be honest with you, I don’t know. I know that we’ve had a very good start of this year and you must remember that at these rates which we indicated in the report of the $25,000 per day on a tank charter basis. When we have a low cash break-even for the whole company of about $11,000, we make tons of money and that is not fully understood in the market place. Let me not kill any optimism here. I’m positive to the market. When I visit with my colleagues, when I visit the Far East, when I visit ExxonMobil, when my colleagues are visiting Shell and I’m encouraged with what they see. So because the company itself, you know we are in the business and we cannot exit the business, only the shareholders can exit the business, because we had a high, high liquidity, but I must admit Fotis that we are optimistic, optimistic by nature and we have been around for a long while. I started out and always the shame to tell you, in 1974, after graduation from Norway and afterwards I learnt a little bit more also from studies in America that I feel good about it, Fotis, that is it, and if you are nervous, find something else to do.
Fotis Giannakoulis: Thank you very much sir, this has been very helpful.
Herbjørn Hansson: Thank you.
Operator: And we will take our next question from Mike Webber from Wells Fargo. Please go ahead.
Mike Webber: Good morning guys, how are you?
Herbjørn Hansson: Doing fine thank you and how are you?
Mike Webber: I’m good, I’m good. Thanks for hosting the call. I wanted to backtrack a bit and just maybe get a bit more specific with some of the, I guess, some of the questions. Specifically, I guess around the call this is the first one since 2012, is this something you guys expect to continue to do in the future?
Herbjørn Hansson: I don’t know.
Mike Webber: Okay. In terms of the dividends, you are looking at expanding next year that seems open-ended. You’ve got a modest degree of leverage that you are using in part to help fund the dividends in a kind of a countercyclical way, is that dividend something you would expect to continue at or near the current level even while you are expanding?
Herbjørn Hansson: Let me talk to you about the dividend. Last time the dividend was $0.26, and now the dividend is $0.20, but last time there was a one-time income of about $5 million or something like that associated with the conclusion, all the discussion we had the Gulf navigation in Dubai. So if you take away that one-time thing, the dividend last time was $0.21. So in reality, the dividend has gone down from $0.21 to $0.20. On the more general question, we will and shall do our most to pay a dividend all the time. Dividend is a reflection of our focus on shareholders and on investors that’s extremely important for us. I cannot envisage that we should not pay dividend you know, of course it depends on the future market. But as it stands now, we will pay dividend whether the dividend goes up or goes down or stay where it is, it’s a different question. I couldn’t tell you and I don’t think that anybody else could tell you either simply because we don’t know what a market. To put it differently, we will now pay our new dividends, we will -- which is important, we may do more business and what I can promise is one thing, we will do everything we can to keep dividend to keep the dividend whether it goes up or goes down or sideways, is a different question but we shall pay dividend as long as I am the Chairman of this Company and I warn you that can be pretty long.
Mike Webber: That makes sense, that was a good answer. Just to go back again to the growth strategy, just to make sure I’m clear on this. You’re looking at expanding into other asset classes, but you want to stay within crude, did I get that correct? You mentioned being the best, if you are good shoemaker, staying a good shoemaker, but we are talking about the difference between shoes and sandals here, we are not talking about building a car, right so would you be looking at these and Afras in the secondhand market as well?
Herbjørn Hansson: To be blunt about it, I would rate that probability as very low.
Mike Webber: Okay.
Herbjørn Hansson: As very low, but you know what I say, what we meant yesterday is not a thing that we mean tomorrow, but the probability is low and therefore we are like the shoemaker, we stay with our own business.
Mike Webber: Okay, that’s helpful. Around the M&A and the space, I know you don’t like to look at NAV, but within the hemmer me, within the context of the equity markets today, would you pay above NAV for a public entity where you can add scale and acquire those assets quickly, given that your currency is at such a large premium and that you can make that math work in a big way when a number of your competitors can’t?
Herbjørn Hansson: NAV has no relevance. It has absolutely no relevance. We are not a scrap dealer, when I’m talking to be senior guys of ExxonMobil, they don’t say, "oh, we don’t like your NAV, NAV on the ship 17 is too low and NAV on ship 75 is too high."
Mike Webber: If you are going to look at a fleet, what valuation metric would you use?
Herbjørn Hansson: I would look upon the valuation of the ship and if we can finance it with our good currency, I’m surprised, that could be very advantageous, very advantageous.
Mike Webber: Okay, so the market value of the asset less the debt on the asset, right, so would you pay, if you look at that for fleets on the market, right, now for public fleets, would you pay a – well, basically would you pay a premium, a slight premium to be able to add that scale quickly? Obviously it’s a big topic in the market right now and I think you kind of know what I’m getting at, but you have a currency that you can use that affords you flexibility that may others don’t, so I’m just curious how much do you value the ability of that scale?
Herbjørn Hansson: Let me reflect on it, when you go into a shop to buy a suit, you may not know the price of the suit when you get in there, but when you get it you can start negotiating with the shopkeeper. And the point I’m making is, if he does increase the value then we would do it, if he doesn’t increase the value we would not do it. What I do see in this business is that earnings pressure don’t take account of risk management. We are talking about levered IRR and unlevered IRR. I was on the Board over a big company at one time. And I said I was over 12 years and I stepped out after I discovered that it could – they couldn’t calculate, because they said, oh, we can increase the IRR, that means the return on equity. It’s only to borrow more money and we see how it goes when you borrow money and also without going into the economics here. The left-hand side of the balance sheet is the asset side. And it’s a question how much money you make. And on the right-hand side is the financing side. In this business, many of service mix the asset side and the financing side. They are two separate items. But my point is, in summary, we are very pragmatic and we would prefer to buy assets instead of buying companies. That is…
Mike Webber: Okay. That’s very helpful. But and one more from me and I’ll turn it over. But along those lines and you mentioned the debt and over-levered this space can be – your leverage is increasing modestly at times, as you’re paying out a dividend even through kind of tough quarters. And the countercyclical nature of that policy make sense to us to a degree. But there’s got – there’s – at some point there’s a limit to it. How far would you push your leverage? Where would that threshold be before you would not being able to do that?
Herbjørn Hansson: We are very conservative. I have not seen a banker who is as conservative as we are. So I may have to ask you what you think? But you don’t charter ships, and you don’t own ships.
Mike Webber: Unfortunately, that’s true.
Herbjørn Hansson: This is a question of judgment. It is a question of judgment. I’m going to give a speech tomorrow evening, I send and do that to some of the top bankers of Norway – in Norway, which is called the risk management in international business. I will not give you a percentage leverage. But I have seen in 1987, the equity in Norwegian shipping – Norwegian-based shipping was zero. Some of the big names were bankrupt. We have seen recently that companies have come into the trouble Chapter 11, we pioneered the transportation sector in America when we became listed in 1995, with the help of LaSalle Brothers and with the help of DNB, the big financing institution in Norway. And we have always been careful, because I have seen shipowners go bankrupt all the time. And we will grow with low level of debt. That is a starting point.
Mike Webber: So there’s no red line. There’s 40%, 50% leverage, is there a line that would get your attention?
Herbjørn Hansson: No, no.
Mike Webber: Okay.
Herbjørn Hansson: No, no. I would like to have 80% equity or even more, depends on our pricing.
Mike Webber: Okay. I will…
Herbjørn Hansson: The DBM followed our strategy since 1997 and that strategy has been very, very helpful and very effective.
Mike Webber: That’s true. That’s actually true. I appreciate the time. I will hop back in the queue and let someone else have a chance. So thank you, guys.
Herbjørn Hansson: Thank you.
Operator: And we will take our next question from Magnus Fyhr from Seaport Global. Please go ahead.
Magnus Fyhr: Hi, Herbjørn, thanks for putting on…
Herbjørn Hansson: Hello, Magnus.
Magnus Fyhr: Yes, thanks for putting on the call. Hopefully, this is something we can look forward to every quarter.
Herbjørn Hansson: I would remind audience that Magnus is from Sweden and my grandfather is from Sweden. Please continue, Magnus.
Magnus Fyhr: But I don’t think we’re related, Herbjørn.
Herbjørn Hansson: No, I don’t think so, except that we are most of Swedish extraction.
Magnus Fyhr: Anyway, Herbjørn, most of my questions have been answered. But a couple of things that would just want to key in on follow-up on Mike – Michael’s question here on the debt level. You talked about being that verse. But I just not specifically saying at that level, but what’s your plan for the next four ships that are coming on? Is that going to be financed with that, or how do you see financing those new – the remaining ships?
Herbjørn Hansson: The next – the first of it is coming at the end of February, and we would pay $32 million for that ship. And then three more ships are coming next year in June – in August or September?
Unidentified Company Representative: September/October.
Herbjørn Hansson: Yes, September/October, and they will – we have earnings going forward. In a strong market, we will accumulate a lot of cash and the weak market is different. We don’t plan offering to pay for these three ships. But I was talking to you earlier about these expansion plans. And it is important to understand that, of course, somehow you must pay when you expand. So either we have the bank campus, we have the market help us, and our overall strategy. But we will be conservative, that is an important thing to remember, because I’ve seen in this business that people have expanded too quickly. Ship owners they have a bad tendency to go bankrupt, and they know the read from 40 or more years back. And we will, as I indicated earlier, when I wouldn’t say if we expand, but when we expand, it will be done with a low level of debt. And I indicated to you to depending upon our judgment, it – I like equity of 80%, or even more. I’ve seen so many people go bankrupt and I’m not nervous, because I know for a fact that we are not going into debt trap. The problem with shipowners is that, they become very optimistic that we have seen over and over and over again that is when greediness exceeds intelligence.
Magnus Fyhr: All right. Thank you. Yes, thank you for that answer. Maybe you can help me understand the focus on the Suezmax market. We’ve seen rates come down quite a bit here in the last couple of weeks. Do you think this – the relationship between VLCCs and Suezmax’s, I mean, it’s been widening quite a bit here. Is that something structural, or you think this is just a temporary?
Herbjørn Hansson: It is not structural at all. As we say in our report, the Suezmax market has been very strong this year, very strong. And now, it varies almost on day-to-day. But our focus on customers is helping us a lot, and it is not that all structural. But of course, we understand that Suezmax can load 50% of the VLCC, and we see split of cargoes taking place in West Africa, in Angola above all in other places, and we see it in Singapore also. Suezmax is $1 million balance sheet and that VLCC’s are $2 million balance. So my interpretation is always that there’s more risk associated with VLCC than a Suezmax. So if you have a strong heart, you should go for VLCC. We are careful people.
Magnus Fyhr: All right. One last question, Herbjørn, and I’ll let you go. The – I mean, the current market, I mean, looks call it 20,000 or less. At that level, you generate about a $1 per share in cash flow the market outlook. I mean, it’s more challenging, I think in 2017, if rates don’t improve from current levels, would you be, I mean, considered financing these new buildings with all debt, I mean, of the 50%, 60%, or would you address the dividend?
Herbjørn Hansson: It depends on – it will be paid for the first new building. We pay for cash on hand at the end of this month and you cannot answer that questions, because there are so many variables. Before that, but again, we’ll see. And as Chairman of this Company, I simply don’t know the answers to the future, because as I said, if I did know the answer I wouldn’t have told you, because then the business would be easy if you know the answer to the future you know, but that’s very exciting to live that you don’t know the answer. But generally speaking, we’re very pragmatic and we’re very clever also at changing our mind about what to do and not to do that’s important. But my conclusion on these various questions is, we wish to stick with Suezmaxes, I would rate the probability of the NCCs as a low thing. We have started out very well this year. I’ll show a number of reports that my friend here, Grossland working in New York for a number of years. There was no mention of the customers at all and that is quite amazing in my view, because the customers and the shareholders, they’re the most important constituencies in our business. But we are optimistic about all this and if we enjoy this, I had a question, whether we should do it more. If you enjoyed it and we enjoyed then even probably do it more, but if you say in your older written materials that guy he is stupid, we cannot listen to him, then I will not do it more…
Magnus Fyhr: No, I heard you. Yeah, if it’s one recommendation I would give you is to keep this call on a quarterly basis, it’s been very entertaining.
Herbjørn Hansson: Thank you, I like it, I like free advice.
Magnus Fyhr: Thank you, Herbjørn.
Herbjørn Hansson: Thank you for saying so.
Operator: And we’ll take our next question from Greg Lewis from Credit Suisse. Please go ahead.
Gregory Lewis: Yes, thank you and good afternoon Herbjørn, and I would just reiterate Magnus’ advice, it’s been enjoyable. I guess my question is more related to the fleet, I mean you talk about expansion. Just thinking about that you do have a handful or maybe a little bit more than a handful of vessels that are a little bit older, approaching the 20-year range where there can be some discrimination for those vessels in the market?
Herbjørn Hansson: We don’t see that, but if you see it in your fleet please tell us, but we don’t see that.
Gregory Lewis: Okay. So that as we think…
Herbjørn Hansson: That’s not true, but anyhow I knew you’d say that.
Gregory Lewis: Okay. So that as we think about those older vessels that are in the 20-year range, we should just expect those to go into -- so for those vessels as we think about, how much should we think the special survey costs on those asset should be?
Herbjørn Hansson: As we have said repeatedly, they are almost all the same. The price of docking a ship, which is three years is essentially the same as docking a ship which is 15 years. I have the table in front of me, crew expenses, provisions, stores, staff, fuel, service and service repairs, the safety and risk insurance administration, because there is a notion out there that older ships are more expensive, that’s not true, it’s not true. And we are running the biggest fleet of them all, so we know this and I have the piece of paper in front of me. We’re coming back to the question, ExxonMobil that scrapped the Jones Act ship just a months or two or three ago of 38 years, I was -- I’m not saying 30, or going on 38 years at all, but we were to bid Exxon, they told us several years ago these ships last until they are 30 as for age. And I’m not saying that, it is quite obvious that we will renew our fleet that goes without saying. But I’m used to be on the Board of INTERTANKO, the global tanker owners. And my good friend Nick Tsakos, who I’m sure many of you know, he and I totally agree it is a question of quality. If the quality is right, it’s the same, it doesn’t matter. And if the ships, if there is nothing new with the ships, I fully understand the question of consumption of oil and the echo and all that thing, that is fully understood. But the thing is, I spoke about shipbuilding technology and we having been in the business and have been running ships for ages, some people say too long. We must use our own judgment about that. But of course we shall renew our fleet, everybody must do that. So I don’t know if that was an answer or not, but the notion that old ships are more expensive than new ships that’s simply not true and I have the proof in front of me here. And dry-docking costs are between $1.5 million and $2 million that is really what we’re talking about. And the point I would make, 15 to 20 of dry-docking is much lower than some analysts seem to tell us that is really the point. And we are actually owning the ships and we operate the ships, so we are probably the ones who know this and I’m not suggesting that you suggest we’re lying, but I can tell you we’re not lying.
Gregory Lewis: No, I’m sure you are not. Okay guys, we’ll however we’re approaching up on the hour so I thank you for the time.
Herbjørn Hansson: Okay.
Operator: And we’ll take our next question from James Jang from Maxim Group. Please go ahead.
James Jang: Hi, thanks for taking my call today. So a lot of questions were already answered, but can you give some insight into what your plans are with the older vessels with the upcoming environmental regulations?
Herbjørn Hansson: Let me take two things. Firstly let me talk about the scrubbers, that’s no problem whatsoever, not at all. All our vessels are running and engines class approved to run 0.1 sulfur high fuel oil or marine gas oil. So when it comes to sulfur, no it’s no issue at all. When it comes to the other thing, which is of course we’re studying, is the question of Ballast water treatment installations. The Ballast water treatment installations, they are -- they wish to present microbes, I believe you call it microbes, are moving from one part of the world to another part of the world. And there are rules governed by IMO the International Maritime Organization and these rules, if we do this correctly, we can postpone the next docking by five years I believe, is that correct [indiscernible]?
Unidentified Company Representative: Installation by five years if the dock prior to…
Herbjørn Hansson: Yes, we must dock the ships now and before September 9, but this is -- and then we’ll get a five year grace if you wish. But we’re looking at this question. I’m on the Board of the biggest maritime insurance company in the world with the name of Gard and I’m on the board of Citco, a Bermuda based insurance company, which is a defender between the U.S. Coast Guard and Gard. And what we are seeing is that we can accommodate the rules that IMO is prescribing and that the U.S. Coast Guard is describing, because we are fully cognizant of the fact that U.S. is still running the world. They say we provide for the rules and we’re very, very concern – not concerned, focused on keeping all the rules. Also, because of our name Nordic American Shipping, we have 100,000 shareholders in America and we enjoy, if I should be a little bit a modest, a good reputation in America. And I’ve been around with my colleagues all over the place in – on the West Coast and the East Coast and in Dallas and all over the place. So to be very clear you from the Maxim Group, we are fine with these environmental legislation activities and we need to do a few dustings before September 9. And then when we do that, which are under planning, we do that. We have a grace period of about five more years. So and I can tell you sir that my experience over the years is that, all these regulations they are postponed and postponed and postponed, we had a double-hull introduction in following the Exxon Valdez accident in 1989. Exxon Valdez – the Exxon – the ship that went the ground in Puget Sound in Alaska And that was, of course, the introduction of the double-hull tank and the last time a single-hull ship could sail was in 2010, so it took almost more than 20 years before the legislation was enacted to – it became a legal, if you wish to trade such a ship. In short, Maxim, it is solvable and we are confident on that.
James Jang: Okay. So at what point does it make sense to, I guess, stop offering the older vessels. So like, what I want to know is, what is the old vessels of Nordic?
Herbjørn Hansson: I have addressed that several times. And as long as they function very nicely, I’m fine.
James Jang: So in terms of – so I know you mentioned that you work with a lot of the oil majors. When you do that betting processes, especially with the older tonnage, are they giving market rates, comparable rates, or you have something saying for that?
Herbjørn Hansson: Yes, yes, yes. It’s a misunderstanding out there that older tonnage gets lower rates, that’s not true. And it is, as I mentioned, it is the quality and there’s a notion out there that low ships, Shell was betting one of the ships yesterday and we had zero observations, nothing. And there’s a misconception that old ships spend more money than new ships, that’s not true. On the contrary, some of the new ships are on the contrary. And we have a huge customer base around the world that we serve with all our ships. And that is why we have such a good report. And one of our friends and my colleagues was in London just 10 days ago, and he visited some of the major oil companies in London and they are very appreciated of what we’re doing, because the thing is, the psychology is when this has to do, the safety for crew, safety for the environment and safety for assets. And when they go to bet in the evening and lay on their pillow very must feel good. They’re doing business with Nordic, and when they’re doing business with Nordic, it’s good. That is a summary, my good friend.
James Jang: Okay. So just in terms of, I guess, the Suezmax sector in general for this year. It seems like there’s going to be about 42 vessels delivered in the first-half. And with the OPEC cut still in effect and so I guess may – do you see any rate weakness leading up to that in Q1 and Q2, I mean, rates have pulled back a little bit over the past weeks, right?
Herbjørn Hansson: In our report we said that we have made more than 25,000. And when you know the market can go three ways, it goes up or goes down or stay where it is. We have even written that in our report from time to time. And I don’t know OPEC, I’m not an expert in OPEC. I don’t know anybody who is an expert in OPEC. I know I could make a long speech on the relationship between Saudi Arabia and Iran. And I could make a long speech on trend, and I could make a long speech on international geopolitics, but that is outside the scope of this conference. I – maybe I don’t know. Maybe if somebody comes with us with a very cheap vessel, then I maybe very deep, very strongly, as I – we buy that ship. So, as I said earlier, we are not concerned, because if we may be concerned or nervous, we wouldn’t have been in this business, then we would have done something else.
James Jang: Okay. So let me just shift gears here, just one last question. So all your vessels are South Korean built.
Herbjørn Hansson: They all…
James Jang: Would you look to go to China…
Herbjørn Hansson: Most of them are Korean-based, about 26, I believe or something. And then we had a few from Japan. When I started out in this business commercially, then we ordered lot of ships in Japan. And my friend an able architect Lars, who is sitting here, he was living in Japan. And then we moved to Korea and then we – now we have two ships from China, I believe. We are discussing a lot with China on the chartering side above all. And we – I had a very good feeling for China. They are extremely intelligent. They are extremely clever. They will solve the pollution problems. There’s no doubt in my mind. I was in the Far East first in 1975, when the fog in the shore was just like gravy, today shore is clean. And in 10 years time, China will be clean. Asking about questions whether we should buy ships in China, where I would say, you would be one of the last I told. The Chinese are very clever, let me put it like this. They are very, very clever.
James Jang: Okay. So is it fair to say you have no plans about building new build in China, right?
Herbjørn Hansson: I have no plans. No, I don’t know, but they like it simple. I like it simple, I like to do business with people have done business before. And they like what we are doing and we like what they are doing. And we – there are also many things to worry about that we try to suppress these things, take them away you know. So it’s not a big issue at all. So I would also like to say that, it depends on terms and quality, of course. One of our older ships are built in China, the [indiscernible].
James Jang: Yes.
Herbjørn Hansson: …is from 1997, I believe, perhaps you all noted the best ships we have. We bought it from the prestigious and [indiscernible] Group in England now. They are the largest shareholder in Royal Caribbean Cruise lines. That ships has served us very well. Sorry about my invasive way of responding.
James Jang: No, no, that was helpful. Well, thanks again for doing the call and I’ll jump off here for the next in line. thanks.
Herbjørn Hansson: Thank you. Anybody else who would like to?
Operator: And we will take our next question from Mike Moncroft from MRM Capital. Please go ahead.
Herbjørn Hansson: Hi, Mike.
Michael Moncroft: How much have you borrowed on the $500 million credit facility?
Herbjørn Hansson: The net debt is about $10 million associates.
Michael Moncroft: Have you…
Herbjørn Hansson: The total borrowings is $450 million or something $447 million.
Michael Moncroft: So you’ve borrowed $447 million of the $500 million?
Herbjørn Hansson: As I said, then we have $500 million in cash in the company. So the net debt, it’s really the net debt you should look at. So the net debt is about…
Unidentified Company Representative: $10 million per share.
Herbjørn Hansson: Yes, $10 million per share. So our net – our debt is about $400 million – $300 million or so. We have the best, best relationship with the bankers.
Michael Moncroft: The three ships that you…
Herbjørn Hansson: All the time.
Michael Moncroft: The three ships that you are – that are going to be done complete by the second-half of 2018, how much do they cost?
Herbjørn Hansson: Let me put it like this in the mid-50s, very advantageous to us.
Michael Moncroft: Mid 50s per ship?
Herbjørn Hansson: Yes, yes.
Michael Moncroft: Okay. So you raised a $120 million on September 30, 2016, which should be paying for most of these ships, is that correct?
Herbjørn Hansson: Yes, that is a good assumption.
Michael Moncroft: Okay.
Herbjørn Hansson: That we were the only company out there who had the credibility to buy the ships – to have the offering. We got the offering done first one in two years.
Michael Moncroft: So the last question that I have is, you’re – you bought with your son a 100,000 shares back on August 17 at 11.16, you then bought 210,000 shares on August 30 at 10.95, insiders and the Board of Directors bought another 534,000 shares when you did the second share?
Herbjørn Hansson: Yes.
Michael Moncroft: Okay. The stock being where it is right now, which is at 868, 870 give or take a few pennies. Why wouldn’t you guys have added to the position if you’ve been buying on the way down?
Herbjørn Hansson: Now we’re in the black period. We are not allowed to buy anything. My son is living abroad. He is a very clever guy. He is living in Southern France, living in London. And…
Michael Moncroft: You’re allowed – how you reported earnings, you are allowed to now buy the stock if you wanted to?
Herbjørn Hansson: What’s that?
Michael Moncroft: You just reported earnings, so your black out period is over?
Herbjørn Hansson: Now, it is – that’s one day in-between.
Michael Moncroft: Right. So normally I think 24 to 48 hours, isn’t that correct?
Herbjørn Hansson: Yes 48. So I may be asking you to then bring some money and then I can buy.
Michael Moncroft: So you don’t think your stock is cheap enough to buy here when you bought at 25% higher is my question?
Herbjørn Hansson: I have millions and millions and millions of dollars in investments all over the world. And of course, although I would like not to be the case, but also my resources are limited.
Michael Moncroft: Okay.
Herbjørn Hansson: But if you have some money to lend me, please do.
Michael Moncroft: No.
Herbjørn Hansson: I’ll pay a low interest.
Michael Moncroft: I’ve been – I – what I’m saying is that, I’ve been buying stock for my clients and myself but…
Herbjørn Hansson: That’s good.
Michael Moncroft: Good amount of money they’re making.
Herbjørn Hansson: Yes, I hope so. That’s good. I enjoyed your comments, sir.
Michael Moncroft: Thank you.
Herbjørn Hansson: And you – you’re a shareholder in a good company. And I’m very relaxed, I must say, I’m very relaxed, I know it goes up or down. And I see that and you can buy lower – you can tell your friends that they can buy lower. But it is not right on me to sit here and say what I’m going to do, that is the jest of all this. Okay. Anybody else wishing to?
Operator: Our next question is from Joseph DePaul from DePaul Capital. Please go ahead.
Joseph DePaul: Yes. Are you planning on scrapping any ships during the calendar year 2017?
Herbjørn Hansson: The answer is no.
Joseph DePaul: Thank you. That’s my only question.
Herbjørn Hansson: That’s good. Should we do that you believe, if I ask you?
Joseph DePaul: Well, you have several ships that are approaching an age where other companies have scrap ships?
Herbjørn Hansson: Yes. Well, there are other companies in Chapter 11?
Joseph DePaul: I don’t think so. No.
Herbjørn Hansson: Did you hear my comment about age and all that?
Joseph DePaul: Yes I did. There’s a lot of other opinions out there, that’s what I will say.
Herbjørn Hansson: Yes, opinions by people who don’t own ships and who don’t have investments. There are more opinions. You should buy a ship and then you can see what it is. So if you are suggesting we’re stupid, please do that. We’ve had the same thing since 1997 and they have said to us, oh, your stock price is too high. And then I said, we can live with that. Okay. Sorry about, I’m not count to take your advise on shipping at all. You’ll have to stick with stock.
Joseph DePaul: Okay. Thank you.
Herbjørn Hansson: Thank you. Or if you have more questions?
Operator: There are no further questions.
Herbjørn Hansson: Okay, that’s good. I would like to say thank you very much. It was a great pleasure to have you on the phone call. If I did offend somebody that was not the intention, but I enjoyed talking to you. And if I get good feedback from this – if we get good feedback, I may view this more positively on the next occasion. Thank you very much and good evening.
Operator: That concludes today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.